Operator: Good morning, ladies and gentlemen. Welcome to the BCE's Fourth Quarter Results and 2014 Guidance Conference Call. I would now like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead, Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Donna, and good morning to everybody on the call and webcast. As usual, I'm here today with with George Cope, Bell's President and CEO; and Siim Vanaselja, our CFO. We released our fourth quarter and full year 2013 results earlier this morning and also announced our 2014 financial guidance. All the usual information, including the news release and slide presentation for the call, are available on BCE's corporate website. Following the review of the slide presentation by George and Siim, we'll move to Q&A. However, as usual, before we begin, I want to remind our listeners that today's presentation remarks by both George and Siim will contain forward-looking statements that represent our expectations as of today and accordingly are subject to change, whether as a result of new information, future events or otherwise. We don't undertake any obligation to update any forward-looking statement except as may be required by Canadian securities laws. A number of assumptions were made by us in preparing these forward-looking statements, which are subject to risks. Results may differ materially. Except as may be required by Canadian securities laws, we do not undertake any obligation to update or revise any forward-looking statement. For additional information on such risks and assumptions, please consult BCE's Safe Harbor notice concerning forward-looking statements dated February 6, 2014 filed with the Canadian Securities Commission and with the SEC, and which is also available on our website. So with that out of the way, I'll turn the call over to George.
George Alexander Cope: Great. Thank you, Thane. Good morning, everyone. Thank you for joining us this morning. Pleased to report on our fourth quarter, and Siim will take you through, in more detail, the numbers and also give you a sense of our outlook for next year. Very pleased with our fourth quarter or the EBITDA growth of 7% helped through the acquisition of Astral and importantly, seeing our margins increased year-over-year. On the Wireless side, the fourth quarter 10% EBITDA growth and for the year of 10% and the margin expansion, both for the year and the quarter, continues the positive trajectory of our Wireless business. From my perspective, the highlight of the quarter is the data revenue growth in Wireline of 4%, supporting our Wireline EBITDA, a positive quarter for the first time in a long time and at the same time, as we are accelerating Fibe TV. Also happy to announce this morning that we did achieve our 4.3 million homes cover for Fibe TV at the end of '13. We'll be growing to 5 million homes by the end of '14. But importantly, we'll be extending our goal to expand IPTV now to 6 million homes over the coming few years. We'll maintain our capital intensity. While we do that at 16% to 17% overall, we will now end our IPTV footprint expansion to over 80% of homes past versus our initial announcement a number of years ago, it was around 70%. And so we continue to see with the growth of Fibe TV the improvement in our Internet. And so that strategy of expanding footprints will continue, all within our consisting capital guidance that you've seen over the last number of years. Turning to Wireless. Really pleased with the fourth quarter. We think based on our results, we achieved our goal of at least 35% postpaid market share. Pleased to see our churn rate tick down a little bit year-over-year, consistent with the last many quarters. We saw an improvement in average revenue per customer -- ARPU for the 16th consecutive quarter as the adoption of smartphone customers continue to drive ARPU. Pleased that our retention spend was roughly consistent with last year, overall maintaining at 10% for the entire year, a slight improvement in cost of acquisition in the quarter. Importantly now, LTE covers now 80% of the Canadian population and as well, 66% growth year-over-year. We now have over 1.2 million Canadians viewing Mobile TV services. Turning to our Wireline results. Again, very pleased with these results. Residential NAS [ph] losses improved 27% year-over-year; Fibe TV, 60,000 net adds, up 25% year-over-year. We've also begun to see an improvement in the rate of satellite net losses. You can see an improvement there of approximately 17% year-over-year. And again, strategically important, in our Fibe IPTV footprint, we continue to see Internet market share growth and again saw the Internet grow at 16,000, up 9,000 from a year before. Overall, we step back and look at the year. There is really 2 different numbers that I was just focused on. We did definitely have RGU reductions of 107,000. You can see the improvement year-over-year, but in the last half of the year, we were positive RGU and actually very close in the fourth quarter of 12,000 negative. But clearly, the strategy with IPTV and growing that footprint is paying off, not just in subscriber turnaround, but also in revenue growth, as I mentioned the 4% data services revenue. Turning to Bell Media. Another good quarter. The Astral synergies continue to ramp up, I would say, probably ahead of our own internal expectations which we are very pleased with. Our operations continue to be strong, 12 of the top 20 programs in Canada in the fall. Important Q4 season. PSA [ph] and viewership up 31% year-over-year. 6 of the top 10 new shows with Bell Media and now with our radio leadership in Canada, 38 of our radio stations are top-rated in their markets. Turning for a moment to TSN/RDS. While clearly we're disappointed in not being a part of the new national NHL contract for the announcement that was made, it was important to remind investors we continue with our much Canadian broadcast through RDS. We did repatriate 75% of the games that had been announced in that previews contract by one of our competitors. We recently announced the 12-year agreement with the Ottawa Senators through our ownership which Toronto Maple Leafs. We have games for 20 years. And as you can see on the slide, importantly, we plan to continue our leadership position there in the sports side with all the other sports assets that we have, including recently picking up the NFL exclusively for Sundays. So you can see that we continue our investment in TSN and RDS and also have leading support properties beyond the obviously important hockey properties. Turning to Slide 8. We continue on the journey of transforming Bell's operating mix. Many of you would've seen this slide before. Importantly now, as we go into 2014, 85% of our revenue is generated from our growth services and only 7% we expect in 2014 will come from consumer voice. So clearly, as that mix is changing, we're starting to see that in our financial results and probably highlighted best by the Wireline results of this quarter. Finally, before I turn it over to Siim, as many of you, in 2008, we refocused the company on a dividend growth story. I'm happy this morning to announce the 10th common share dividend since that time. Overall increase of 69% since the fourth quarter of '08 and this morning, pleased to be a little bit above what I think people had expected. We're now announcing a 6% dividend increase. And importantly, with our guidance that is rated in the midpoint of our payout ratio of 70% and so we may be able to increase the dividend to 6% yield stake or rate in the midpoint based on our current expectations for 2014. With that, let me turn it over to Siim. Thank you.
Siim A. Vanaselja: Great. Thank you, George, and good morning to everyone. Thanks for joining us on the call. I'll begin on Slide 11 with our fourth quarter financial results, which I'd say rounded off a pretty solid year performance for us. Service revenue was up 6.1%. That was driven by steady Wireless growth, positive Wireline residential growth and the contribution that Astral made to Bell Media's revenues. Bell's EBITDA increased 7% this quarter with a 60-basis-point improvement in our margin to 35.2%. Again, that reflects the inclusion of Astral and another quarter of double-digit EBITDA growth in Wireless. Excluding Astral, Bell EBITDA in the fourth quarter grew 2.6% and that represents our best fourth quarter performance in about 5 years. Notably, Bell's fourth quarter Wireline EBITDA delivered positive growth year-over-year, which I think is a very important achievement. BCE's statutory EPS for the quarter was $0.64 per share, which is down $0.22 per share from the last year and that year-over-year decrease was due to a noncash gain that was recognized back in the fourth quarter of 2012 on the transfer of Inukshuk spectrum. Our adjusted EPS, however, increased $0.10 or 16.7% over last year to $0.70 per share, driven by higher EBITDA. And I should mention that there were no tax provision adjustments this quarter. Our operations generated $674 million of free cash flow in the quarter, up a strong 11.4% year-over-year. We funded higher capital spending as well on the continued expansion of our IPTV service footprint and on core Wireless and Wireline network capacity to meet the ongoing demand for usage and customer growth. So with that overview, I'll turn to the highlights of each of our operating segments beginning with the Wireless segment on Slide 12. Wireless service revenues were up 3.7% on postpaid revenue growth of 4.5% and wireless data revenue growth of 11 -- of 15.2% in the quarter, drove a 2.1% increase in ARPU and that's our 16th consecutive quarter of year-over-year ARPU growth. Service revenue growth in the fourth quarter trended lower compared to the run rate that we've seen in previous quarter. That reflects a few things. First, the higher proportion of new subscriber acquisitions that were weighted toward the end of the quarter during the Christmas holiday sales period. And as well, we have the impacts of promotional discounts, rate plans with larger data usage components and the lower roaming rates that we've introduced. I would say that we do expect service revenue growth to pick up again through the course of 2014, particularly given that our postpaid mix is now increased to over 85% of our subscriber base. Bell Wireless EBITDA increased 10.4% with a revenue flow through to EBITDA of more than 100%, and that bears out the important focus that we place on the postpaid market. Our Wireless EBITDA margin improved 2.4 points to 38.9%. And for the 2013 year, Wireless EBITDA grew 10.6% as service margins expanded 2 percentage points to 43.6%, and that's our best result since 2009. Turning to the Wireline segment on Slide 13, we've seen the rate of Wireline revenue decline steadily improve and now approach breakeven, where we saw year-over-year decrease of only 0.3% in the quarter. Residential servicer revenue grew a strong 3.1%, reflecting a year-over-year improvement in net subscriber losses, as George mentioned, and a higher ARPU across our residential services. When you look at TV and Internet growth combined, that delivered 9.2% higher revenues year-over-year. And business IP connectivity and professional service growth was also quite robust at about 6% and 5%, respectively in the quarter. I'd say that with the steady improving growth mix of Wireline services, we saw our Wireline EBITDA turn modestly positive this quarter, increasing 0.3% and Bell's Wireline margin also remained stable year-over-year, both for the fourth quarter and for the full 2013 year. So a very good quarter for Bell Wireline. Moving to Bell Media on Slide 14, Astral drove significant year-over-year revenue and EBITDA growth for Bell Media in the quarter. Even excluding Astral, Bell Media revenues were up approximately 2%. And I would mention that revenues in the quarter did include $10 million in retroactive revenues as a result of a decision from the copyright board to approve an increase in retransmission royalty rates. While reported advertising revenue grew 26% in the quarter, when you exclude Astral, advertising revenues were down about 4% due to softer conventional and non-sports specialty sales. And that pressure, I'd say, was offset partly by a shift in advertising back to our sports specialty channels on the return of NHL Hockey this season following the lockout that you'll recall in 2012. With the contribution of Astral, we posted 56% growth in subscriber fee revenue and, excluding Astral, that growth was still strong at 13% year-over-year, partly driven by contractual increases in specialty TV rates, primarily for sports, as well as new mobile deals. Bell Media EBITDA grew 33.7% year-over-year, reflecting Astral's contribution. And when you exclude Astral, Bell Media's EBITDA declined in the quarter and that was entirely due to higher year-over-year hockey programming costs, again due to the fact that the NHL lockout in the fourth quarter of 2012 where we would not have incurred any hockey programming costs. So overall, I'd characterize it as another quarter of quite solid results for Bell Media. Our overall 2013 financial performance is summarized on Slide 15. Now you can see we delivered revenue and EBITDA growth of 2.6% and 3.4%, respectively, meeting all of the guidance targets we increased midyear to reflect the acquisition of Astral. We saw increased contribution across our growth services and we realized our cost savings objectives, all to deliver higher year-over-year consolidated EBITDA margin of 37.6%. For the year, we generated just under $2.6 billion of free cash flow. That's up 5.9% year-over-year while continuing to spend on target on all of our strategic capital programs. And we increased BCE's common share dividend at the beginning of 2013 and continue to maintain our dividend payout ratio at the midpoint of our policy range. Our operations are well positioned then as we begin 2014, where our focus will continue to be on capturing incremental growth across our business lines. So that's it for results. Let me move now to our financial outlook for 2014. Our guidance targets are summarized on Slide 17. These targets reflect the full year of Astral's results in our Bell Media segment compared to the 2 quarters of Astral results that we reported in the second half of 2013. With the incremental Astral contribution, as well as growth in Wireless and an improving Wireline revenue trend, we are targeting consolidated Bell revenue growth of 2% to 4% for 2014. Wireless revenues we see benefiting from continued growth in postpaid subscribers as we focus on maintaining our incumbent net adds market share. We expect Wireless ARPU to increase in 2014 at a slower pace as the market matures, but still driven by higher smartphone user base, increased LTE data usage, a richer geographic mix of subscribers and a higher access rates on new two-year contracts, introduced industry-wide following the implementation of the Wireless Code of Conduct. We also anticipate growth from greater customer adoption of Mobile TV and other nascent services, including mobile commerce and banking and mobile advertising. In Wireline, we expect positive residential revenue growth for 2014, positive residential revenue growth for 2014. And that anticipates continued year-over-year improvement in residential Wireline net RGU additions. As we leverage our growing IPTV footprint to drive greater three-product households penetration and market share. Residential Wireline revenues in 2014 will benefit from the price increases that we implemented last November, following similar pricing actions by our competitors. And in business markets, our outlook is for a further gradual improvement in performance as overall economic and employment growth strengthen. For Bell Media, in addition to the 2 incremental quarters of contribution from Astral, we should benefit from further contract-based specialty TV rate increases. Advertising rates for media are expected to remain relatively soft through 2014, particularly in the first quarter where advertising demand should shift to the broadcaster of the Sochi Olympics. Growth in our media segment, I should point out, will also be tempered by retroactive revenues that we recognized in 2013. Those totaled about $30 million and as you know, consisted of the specialty TV rate increases and the retroactive retransmission royalties that I spoke of. All of the foregoing results of 2014 EBITDA expectation for consolidated Bell growth in the range of 3% to 5% with a stable margin of 37% to 38%. And that should translate into adjusted EPS growth in 2014 in the range of 4% to 7%. Our guidance for free cash flow for 2014 is growth in the range of 3% to 7% and this assumes Bell's capital intensity remains in the range of 16% to 17% of revenues. That certainly allows for increased spending to expand our broadband fiber and IPTV footprints, extend Wireless LTV -- LTE to virtually all Canadians and to meet customer demand for increased bandwidth. Our announced 6% dividend increase for 2014, I think, provides an attractive enhancement in our distribution to shareholders while maintaining our payout ratio at the midpoint of our target range at about 70% of free cash flow. With that, let me try to cover pensions on the next 2 slides. The funded status of Bell's defined benefit pension plan has improved considerably. With the increase in government bond yields, our solvency discount rate increased 70 basis points last year and that improved our solvency ratio to 93%, lowering our solvency deficit to approximately $1 billion. Given the plan's strong valuation position and the market's expectation for higher interest rates over the medium term, we see no further voluntary pension funding requirements. Total cash pension funding, therefore, for Bell in 2014 is estimated to remain stable at around $350 million for regular pension funding. Looking forward, Bell's solvency deficit would, in fact, be eliminated in the event of about a further 50-basis-point increase in the discount rate, and should we see the plan get to a surplus of 105%, there would be an opportunity to reduce Bell's ongoing annual pension funding requirement by close to $200 million and that stems from the fact that we would no longer be obligated to pay our annual current service cost. All that would add meaningful upside to our free cash flow generation. On Slide 19, Bell's overall pension expense in 2014 is expected to decrease by about $40 million year-over-year to $310 million. Just to break that down, it's comprised of a $10 million decrease in above EBITDA in the current service cost and a $30 million decrease below EBITDA in our reported net pension financing cost. Both decreases are from applying a higher discount rate on our net pension obligation and that accounting discount rate has been set at 4.9% for 2014. In addition, Bell Aliant contributes an additional $10 million decrease in pension expense for 2014. So hence in total, our consolidated BCE pension expense were reduced by about $50 million, which should contribute about $0.04 of adjusted EPS growth for 2014. Let me now turn to our income tax outlook on Slide 20. Our projected effective accounting tax rate for 2014 will be approximately 26%, which is in line with the statutory tax rate and that statutory tax rate is unchanged year-over-year at 26.6%. In 2013, you recall that we benefited from favorable tax resolution adjustments of about $0.07 per share. For 2014, we are projecting lower tax recoveries in the amount of approximately $0.04 per share. We are forecasting a step-up in 2014 cash taxes to approximately $600 million from $367 million that we paid in 2013. In cash taxes in 2013, I'll highlight we're low due to the tax benefit from the $750 million special pension contribution that we made. Additionally, tax loss carryforwards of CTV have now become largely monetized and our carryforward pool of R&D investment tax credits has been utilized. And as taxable income increases are projected -- or taxable income will also increase, I should say, with our projected earnings growth. I'll turn to Slide 21 where we project adjusted EPS for 2014 of $3.10 to $3.20 per share, which represents 4% to 7% growth over 2013, and before tax adjustments that would represent growth of 5% to 8%. I'd say that growth is derived primarily from 4 areas. First, the stronger contribution from our growth services; then, our full year earnings accretion from Astral; the cost-saving measures that we built into our plan; and lastly, the lower pension expense for 2014 that I covered. Depreciation and amortization expense we project to increase in 2014 by approximately $115 million due to the higher broadband fiber and wireless network investments that we've made over the past few years. Our adjusted EPS growth in 2014 is also moderated by the $36 million pension surplus entitlement that we recognized in the first quarter of 2013. If you recall, that was on the partial windup of certain Bell subsidiary pension plans. That's a nonrecurring item and it contributed $0.03 of EPS in 2013. Lastly, I would say that given the recent devaluation of the Canadian dollar, I'll mention that Bell's U.S. dollar-denominated spending for 2014 has been hedged at an exchange rate that is close to par, so there's really no P&L or free cash flow exposure for us on U.S. dollar purchases for 2014. And we've also hedged a significant portion of our 2015 U.S. dollar spending, also at quite attractive rates. I'll turn to Slide 22 with a few comments on our balance sheet and cash resources. Our capital structure remains aligned with our investment-grade ratings. We have access to more than $3 billion of liquidity. Our debt leverage ratio, although above our internal target range due to the acquisition of Astral, is expected to steadily improve over the next few years with growth in EBITDA, operating cash flows and also the cash generation from the proceeds of Astral remedy divestitures, which will -- some of which has been received and the balance will be received in the first half of 2014. Also highlighted on the slide, you see Bell's favorable long-term debt maturity schedule. We have no upcoming maturities until the end of 2015 and our average term to debt maturities is about 10 years. Our average after-tax cost of debt is attractive now at about 3.5%. That's our lowest level in over 50 years. So all of that being a very solid foundation, I think, for our 2014 business plan and for our increased common share dividend, which George announced. Lastly, on Slide 23, our free cash flow expectation this year is to be in the range of $2.65 billion to $2.75 billion before common share dividend payments. That represents growth of 3% to 7%. 2014 free cash flow growth will be driven by increased EBITDA across our operating segments and an improvement in our working capital position while absorbing the higher cash taxes that I spoke of and I'd say a slight increase in cash interest payments associated with the Astral acquisition. 2014 free cash flow also reflects the change that Bell Aliant recently announced in its dividend payment dates, resulting in us receiving 3 quarterly cash dividends from Bell Aliant in 2014 rather than the usual 4. BCE's common dividend increased for 2014. That represents our 10th successive dividend increase in the past 5 years, totaling about a 69% cumulative increase. And with that dividend payment, our projected dividend payout retains about $800 million of cash post dividends for 2014, which we anticipate applying towards the purchase of Wireless spectrum. There's no share buybacks that are planned for 2014. And Slides 24, 25 and 26, I will leave those for your reference. They do summarize the key financial and another assumptions that support our 2014 guidance. So to conclude, I'd say 2013 was a good year for BCE on a variety of levels, operationally, financially and strategically. And in 2014, we expect to build on that progress, consistent with the guidance targets that we're announcing today. And with that, I'll turn the call back to Thane and the operator to begin the question-and-answer period. Thank you.
Thane Fotopoulos: Thanks, Siim. So before we start the Q&A period, given the time it takes to get through all the presentation held this morning, please keep your questions short, to the point, focused and limited to 1, so we can get to as many in the queue as possible. So on that -- Donna, we're ready to take our first question.
Operator: [Operator Instructions] And the first question is from Phillip Huang from Barclays.
Phillip Huang - Barclays Capital, Research Division: Very good to see the momentum continuing to strengthen in Wireline. My question is how big does the Bell side footprint need to be in order to see consistent residential RGU growth, recognizing that you guys have done very well mitigating the impact of cannibalization risk of your satellite subscribers? But that could, I guess, increase as your footprint continues to expand. And then the second part of that question is on the Bell business markets, improved performance in Q4, I was wondering if you could give a bit more color on that? If there was any sort of onetime items in the quarter and whether the trends have -- will you expect the trends to normalize in the segment and you expect improved performance to sustain going forward?
George Alexander Cope: Sure. Good question. I mean, on the IPTV side, what we consistently are seeing is where we have IPTV, we're clearly positive RGU. So even in this quarter, when we said 12 negative, all of that was obviously a large number outside that IPTV footprint. So there's no guarantee to when that date will happen, but clearly, we would like to see it quarter-over-quarter, a little difference between the third quarter and fourth quarter because of course, you have the back-to-school support in the third quarter. That's why the numbers are slightly different. But we'd certainly -- obviously, our real goal here is we think the continued footprint growth will ultimately end up with that being a positive story and also the pull-through of Internet is really critical to that and the expanded footprint now and over the next couple of years, I think, strengthens that. In terms of satellite cannibalization, it actually came down. We're pleased with the improvement year-over-year there and still, we're seeing about 15% of the clients we're getting. And when we look at -- we don't really see an acceleration of that. What we do see early on in each new footprint is a little higher in that geography because obviously, there's Bell customers who may want to then convert and then of course, we start to penetrate into the competitive marketplace. In terms of our business unit, that side of the Wireline business, we did mention it was a better quarter and a better year than the year before. Our goal in the business plan is to see that steadily improve. But again, and I hate to sound always like saying the same thing on this, but we really believe the ultimate positive trajectory that business comes when we see a job growth of a significant amount and as we know, we've not seen that in the country, in particular where we're stronger in that space, which would be in the Ontario, Québec economy. That obviously, I think, has to happen to make it positive. But overall, we did an improvement this year over last year and we expect to see that steady improvement into '14 and that's reflected in our overall guidance.
Operator: The next question is from Maher Yaghi from Desjardins Bank.
Maher Yaghi - Desjardins Securities Inc., Research Division: Around this time last year, you guys had mentioned that you expected the steady improvement in Wireline EBITDA margins -- sorry, the absolute EBITDA dollars and steady margins for the year. It's nice to see you guys ending on a positive note here, but can you talk a little bit about your expectation about your EBITDA for Wireline as you go through 2014? And as you go into your heavy spending on fiber acquisition, how are you planning to maintain margins and how we should look at EBITDA throughout the year? And also, as a side note, in terms of your $6 million new goal of reaching fiber deployment here, what is changing in your economic equation to continue to expand that footprint? You're seeing a nice traction in your fiber rollout, but can you talk a little bit about your cost of deployment going forward as well?
George Alexander Cope: Sure. So try to answer both questions. I think it's fair to say our overall guidance with revenue and EBITDA, we'll leave the analyst to do the margin work that Siim talked about. Overall, we trying to get -- I would say, I think underpinning, for me, the quarter's most positive was the EBITDA margin in Wireline with the growth in IPTV. And clearly, we would like to see that Wireline number stay with no bracket attached to it and we're going to work that really hard this year as we go forward. So I don't want to really give a specific margin guidance. One of the reasons we did last year was to get people comfortable that we can grow IPTV and not see some of the other Wireline margins we've seen in North America. So that's really what we wanted to see if we can make happen. I continue to think one of the reasons we are able to do that over, someone said, the U.S. carriers is our ownership of the satellite asset as well consolidates our TV business only once. So we have that, that overall grow advantage. And then just in terms of footprint expansion, the reason for the footprint expansion, I think, it's probably fair to say when we first launched it and we were building it out, it was to make sure we saw -- won the financial payback into the pull-through on the customer base. And it's undeniable now that our market share of Internet and our ability to take significant market share in TV, both at Bell and at Bell Aliant, are really clear. And so we think the acceleration of the footprint, there's no debate in our mind in terms of the payback. You add in the Internet revenue and the TV revenue per customer. And we also do see, interestingly enough, where we have IPTV, we see a much stickier local access line and we think part of that is just the way we price the triple such that, in the overall customers' build, the local line, that becomes really relatively inexpensive when you combine with the other 2 services. And so that's really what's behind that.
Operator: Your next question is from Richard Choe from JPMorgan.
Richard Yong Choe - JP Morgan Chase & Co, Research Division: A quick follow up to that question. Not wanting to talk too much about the Wireline margin, but I guess you noted that it was down $10 million, OpEx was down $10 million year-over-year. Is there more cost savings to be done through the year or are we mostly through that?
George Alexander Cope: No, for sure. We have 6 strategic imperatives. One of them, as you know, has been our cost focus and to manage -- we are still going to see local access declines in the business. So demands that we have to continue to manage our cost base of over $10 billion and we'll see that throughout the year. And I'll turn it over to Siim, see if he wants to add anything to that.
Siim A. Vanaselja: Yes, we set as an objective in 2013 to deliver $170 million of cost reductions. We achieved that. We haven't provided a specific target for 2014, but the program would be slightly in excess of the cost reductions that we achieved in 2013. You won't see those in our P&L because there's going to be masked by the inclusion of Astral's numbers. But our cost initiatives would include initiatives, both at the Bell level and then with regard to the integration efficiencies associated with Astral's integration. Principal component would be labor savings. Again, that comes from the Astral integration into Bell Media, but as well, efficiencies in our field service and customer operations. And then, in addition to that, the other areas of opportunities would be targeted savings and payments to other carriers. We're looking at optimizing some of our channel costs and the usual procurement opportunities that we focus on each year. So it's a fairly robust program of activity planned in terms of our cost imperative initiatives.
George Alexander Cope: The only thing I'd like to add on the cost side, we continue to see clearly our customer base wanting to move on to the smartphone and online for their service requirements, so the call volume in our call centers continues to decline as we grow our customer base and through natural turnover, our employee base in call centers, we're not having to replace at the same rate. And we've seen that all through 2013 and 2012 and we continue to expect to see that even more significantly as we look forward into '14 and '15 as the tools we put in place for our customers on the smartphones eliminate the requirement to make the call and it's a benefit to our customer and drives cost out of the business.
Richard Yong Choe - JP Morgan Chase & Co, Research Division: Great. And one quick one on the fiber build. Is the pace of the build being dictated by kind of what's available or is there -- given the success, would there be any desire to kind of speed it up even more outside of just expanding it?
George Alexander Cope: Well, it's really tough for us to accelerate it quicker because certainly, as I know you and all the analysts on the line would know that as you expand the footprint, of course we're getting into geographies that are not, say, as dense as obviously Downtown Toronto. So you'd see the number and say, well that's -- these many this year versus the year before and it wouldn't be at the same million pace. And really, it's frankly driven by the time and resources to get to those locations, so it continue to be a little further distance out. That's really the key driver. And on our own view is staffing up for a very short period of time and then staffing down isn't the way to build these out. We'd like to do it in a steady market-by-market rollout and also because it's been working that way. But particularly, for team and the engineer outside, just it takes longer now simply because we're out a little further than core cities.
Operator: Your next question is from Greg MacDonald from Macquarie Capital.
Gregory W. MacDonald - Macquarie Research: Another question on Wireline CapEx. I guess I'd put it this way. We've seen both Bell Aliant and Manitoba Tel announced accelerations in their fiber deployment. In Manitoba Tel's case, they're talking about shorter loop lengths in the markets that they've already built FTTN. And one of the things I wonder about is cable companies and what they might do going forward. They have a natural advantage in bandwidth. Maybe it's no surprise that they're starting to look at pushing more over-the-top products to maybe take advantage of that bandwidth. What's different between your network and, let's say, Manitoba Tel's network? Why would you not face the same risk of having to refocus CapEx efforts in the urban cores that you've already built as over-the-top becomes a more important demand driver?
George Alexander Cope: It's very hard for me to comment on what Manitoba Tel is doing. But in terms of our strategy, just to reiterate for all investors so there's no confusion based on the question or implication based on the question, we already launched pair bonding in all of our markets for customers who want accelerated on speed. We're having no speed competitive issues at all. That's why our market share of Internet is improving with Fibe TV. All the condos that are built in the cities now have fiber rate to them. All condos that didn't are being rebuilt with fiber rate to them. Every new neighborhood in any part of our footprint that's built is built with fiber rate to the home and fiber-to-the-node, we definitely got closer to the homes over the last 2 to 3 years. So we're really, quite frankly, we're locked [ph] to the position. There's no doubt as we build out IPTV, it does accelerate our broadband capabilities as well for Internet in those areas and that's part of what we're doing. But just to remind you, it was made in June when we launched the ability for pair bonding and those customers who require, we're doing. That also extended our IPTV footprint. I think about 160,000 homes doing that because that added incremental speed. So we're -- probably in my 10 years on the Wireline side, never been more comfortable about our competitive position with our competitors.
Gregory W. MacDonald - Macquarie Research: George, can you just remind us what percentage of the network has pair bonding capability and what bandwidth capability do you have on average?
George Alexander Cope: It doubles what a customer would have, so that people can go from 50 to 100 or 25 to 50 and basically, if a customer wants it, they can have it. We don't deploy it at every single home. It's really driven by that home. These are for additional speed. It's something we make available in our product.
Gregory W. MacDonald - Macquarie Research: But you have paired strips going into the vast majority of your footprint. Is that what I'm to believe?
George Alexander Cope: Yes, what I think was most important to believe is our competitive results should make people comfortable about our ability to compete head-to-head with anyone on that side.
Gregory W. MacDonald - Macquarie Research: And then finally, traditional looped links for FTTN builds are kind of a kilometer. Are yours because you have majority of your customers in Toronto or Montreal urban markets? Are yours actually shorter naturally?
George Alexander Cope: No. We've built on average 900 meters to the home with this again, but with bonding and what we've done, are completely comfortable.
Operator: The next question is from Jeff Fan from Scotiabank.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: Switching gears, I wanted to ask a question, George, about the wireless competitive landscape. You talked about some of the more, I guess, attractive offers on the handset side going on in the market. Just wondering if you can characterize what happened through Q4 on the competitive front?
George Alexander Cope: I mean, we're pleased with our results in Q4. We obviously have not had the reporting of the other; we are the first company to report. We believe we achieved our market share objectives at the Street. We've been pretty clear on -- we believe we've achieved that. I mean, it was -- it reminded me, it was no different than the other fourth quarter. The closer you get to the end of the quarter, the more aggressive the marketplace is, clearly in an important buying season. I think it is worth noting though, particularly because we own The Source, there was no doubt that the impact on -- whether that had an impact on traffic. And we probably had the clearest vision on that from Bell through our ownership of The Source. In fact, if you look closely at our numbers, you'll see the hardware numbers are down in Wireline and the reality is although it's very hard, you wouldn't see it because we don't disclose it. Part of that was just the loss of 3 or 4 days of traffic at our retail operation at The Source. So that clearly had some impact. But I think in terms of our gross adds and net, we were really quite pleased with what we saw there. And Siim talked about the -- little lighter on the revenue growth there and we do expect to see that. We've had that ARPU growth for 16 quarters and we have expectations for ARPU growth that continue into 2014 as people continue to migrate to smartphones.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: And just very quick follow up. If I look at your gross adds through the year, since the 3-year to 2-year contract change, it seems like the industry gross adds anyways have slowed in the second half. Is that really what you think is happening? Is the market still trying to absorb what's happened to the pricing and the contract changes in that year?
George Alexander Cope: I think that's part of it. I really do because there were price changes in the marketplace when you go from, kind of give out car leasing and saying that you can't lease cars for 3 years anymore. You can only do them for 2 years. It would have an impact. And we think we've seen part of that for sure in the industry. And ultimately, that will work its way through. But I think there was some of that in the second half of the year. That's for sure.
Operator: Your next question is from the Drew McReynolds from RBC.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Just 2 questions for me. First, just on the FX exposure, Siim, can you walk us through in terms of your OpEx and CapEx what's denominated in U.S. dollars as a percentage of the total and obviously talk about the hedges, so that's fine? And then the second question, just on the cash tax is, I think your guidance here for 2014 is roughly $600 million. I think most would've expected the year-over-year increase just given the lack of pension contribution. When we kind of look over the medium term, is that cash tax number going to rise over time? Are we going to see another step up? If you can talk to that roughly, that would be great.
Siim A. Vanaselja: Sure. First with respect to FX, we have over -- a little over $1 billion of total U.S. dollar purchases and it's roughly split 50-50 between OpEx and CapEx. With regard to cash taxes, I think, certainly the medium-term outlook would be for cash taxes to continue to rise in line with the, sort of the growth in our bottom-line earnings, which is going to translate to growth in taxable income and cash taxes. So it will increase from $600 million level, but at a reasonably gradual pace over the medium term and I think that's totally manageable in terms of our ability to continue to generate growth in free cash flow and to continue delivering on our capital market's objectives.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Okay, that's great. Just maybe a clarification, just on the solvency deficit. When you gave the update, that presumably was at year-end as opposed to today?
Siim A. Vanaselja: That's correct. Yes. So we have seen a rise in interest rates in January and February. So we would be a little bit north of the $1 billion deficit. I think the solvency ratio has come down from about -- interest rates went down, sorry. I think the solvency ratio has declined from the 93% that I've quoted to about 91%.
Operator: The next question is from Dvaipayan Ghose from Canaccord Genuity's.
Dvaipayan Ghose - Canaccord Genuity, Research Division: George, just a quick question on your IPTV pull-through. It looked very good on the access line defense side this quarter. But the DSL pull-through was not as good as in Q3 where it is really very good. I am wondering whether that's just seasonality because of the back-to-school? And do you think you still gained broadband market share from the cable codes [ph] this quarter, which is obviously very important?
George Alexander Cope: Yes, you're right. It's one that's really important to volume. It is hard to know yet. There's no doubt, back-to-school had some of that impact for sure. What I can say is in the IPTV footprint, we're seeing the pull-through and our competitors, they're very good competitors, so where we don't have IPTV footprint, you can guess they're being pretty aggressive in doing what they should be doing. And so the answer to that, we think it continues to be strategically, "Okay, get more that footprint out because we're seeing that pull through."
Dvaipayan Ghose - Canaccord Genuity, Research Division: If I can ask a quick second one on wireless, if you look at your equipment sales, you're actually up 1.5% year-over-year. If you look at -- despite the weather, right? And if you look at the Verizon and the AT&T have reported, they had a real slowdown in smartphone activations, which really boosted their margins. It doesn't seem to be something we're seeing in Canada. Can you give us an idea of how many smartphones you activated versus the year-ago period?
George Alexander Cope: Dvai, I'm sure, Siim will get back to you. I don't know, but definitely we've not seen a slowdown in the migration to smartphone at all. We just don't know on top of head. It's a good point on the hardware piece, but it's hard to know. Do you know?
Siim A. Vanaselja: Smartphone users have increased by 23% over last 12 months, but specifically in the quarter, I have to get back to you.
Operator: The next question is from Glen Campbell from Bank of America Merrill Lynch.
Glen Campbell - BofA Merrill Lynch, Research Division: A question on CapEx. Can you give us some, maybe just a little bit more detail on where you hope to be in Wireless and Wireline at the end of the year? So on wireless, I think you mentioned you're hoping that this broadcast TV would be available with full footprint. I mean, does that -- are you saying then you'll have LTE coverage in just whole country? And when you do this coverage, would it include the spending needed to bring 850 online? And then on the Wireline, you gave us the footprint numbers. Could you remind us of where you are at year end on FTTN and what the sort of cut off is in terms of megs per second to be considered to be upgraded now?
George Alexander Cope: So the first question, the -- do you mean CapEx by the different business units, Glen? Is that....
Glen Campbell - BofA Merrill Lynch, Research Division: Yes, just where you expect to be in Wireless in terms of capability by year end?
George Alexander Cope: LTE? We're in the middle of a process. I don't want to make any comments on, but our objective is to accelerate to literally our HSPA+ footprint as fast as we can. But CapEx intensity in Wireless, if you look at this year's numbers, not far off the range plan to give you a sense. We're at 80% now, as you know. So it's really accelerating those rural markets, but I'm very sensitive given what's -- I'm not allowed to comment on anything.
Siim A. Vanaselja: Yes, I think we'll be in a position to comment more fully once the current 700 MHz auction is over.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay. Well just conceptually, as you build out, let's assume you get the 700, can you give the 850 reclaim at the same time or is that a separate exercise?
George Alexander Cope: We are going to do some of that. That's for those online where you're talking about it as traffic moves off, can we use some of our 850, the answer is, certainly that's one of the real strengths of our depth of spectrum position.
Siim A. Vanaselja: And in terms of the fiber question, Glen, I mean, obviously the IPTV footprint's at $4.3 million. So the fiber footprint will be somewhat higher than that. It's north of $5 million at the end of last year.
Glen Campbell - BofA Merrill Lynch, Research Division: And it is 25 megs per second, is that the upgrade threshold?
Siim A. Vanaselja: Yes.
George Alexander Cope: Correct. Yes.
Operator: The next question is from Simon Flannery from Morgan Stanley.
Simon Flannery - Morgan Stanley, Research Division: On capital spending, you reiterated the 16% to 17% guidance range that you had last year, although I guess Astral helps with your capital intensity. AT&T's talked about 2 more years of heavy spending and then a significant drop in their capital intensity. I was wondering if you see the same opportunity as the fiber build and maybe the LTE rollout rolls off? And then any comments on the increasing use of installment trend plans for financing handsets in the U.S.? Is that something you think might become more widespread in Canada? How do you think about that?
George Alexander Cope: Sure. On capital intensity, I'm always leery of guidance beyond the year. But I think, in this one we probably -- typically try to be more transparent for everybody on the modeling. We think 16% to 17% is a reasonable number for people to continue to model out and it's not a comment on a particular other company because I know your question is related to that. But in my years of experience, I've frankly never seen not another need. So I think something to model that -- we keep thinking of a 16% to 17% consistent number and our thinking and you are right, we got help this year by Astral. So actually, our overall capital you can see would be up in the others to drive that 16% to 17%. It's one of the great parts of media assets that we own. They're not capital-intensive and generate great free cash flow. And what we're trying to do is have some of that come back to shareholders and other will be reinvesting in the business. So in our case, I wouldn't model something, not in that number.
Simon Flannery - Morgan Stanley, Research Division: Okay. And on the installment plans?
George Alexander Cope: Not really something that we've seen here. I'll have to, frankly, you'd have to go really directly ask our marketing guys. Certainly not one that I've heard that our particular groups focus on, but if something happens in the competitive market, we would have to pay an attention to it pretty quick.
Thane Fotopoulos: Given that we're approaching on the end, this will be our last question, Donna.
Operator: And the last question will be from Tim Casey from BMO.
Tim Casey - BMO Capital Markets Canada: George, just quickly. Can you just give us a little more color on the puts and takes you're seeing on ARPU? I mean obviously, there's a lot of noise about potential changes on roaming and I know you're not terribly exposed there, but can you just sort of give us some color on what you see in the Wireless ARPU puts and takes for this year?
George Alexander Cope: Yes. we -- definitely, there's no doubt. Siim talked about fourth quarter a little bit on some of the roaming reprice. Some of that will flow into next year. We also, as new smartphones come out, we find some of them more efficient in how they operate, and so that can create some compression as well in some of the data usage even as people use more. And we want to try to understand that better going forward. But in terms of our expectation in the marketplace, I think we would think it would -- where we see ARPU should increase as the conversion to smartphones continue and we'd like to see a little better service revenue growth on the Wireless side in '14 than we saw in the fourth quarter here versus the whole year. And I think the only thing which is important in our mix, right? We're just getting so close fade [ph] mix in our overall revenue. The reality is in our results. It's been the negative prepaid revenue that has masked an overall top line service revenue growth in wireless and of course, as that mix comes our way, that should be helpful going forward. So hopefully, that's helpful as an answer. Thanks, everyone. Thanks for taking the time.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and thank you for your participation.